Operator: Good afternoon. Welcome to the DigitalGlobe Fourth Quarter 2012 Earnings Conference Call. [Operator Instructions] Today's call is being recorded and is also being broadcast live over the Internet at www.digitalglobe.com. In addition, there are supplemental materials that will be referenced on today's call available at the company's website. To access these materials, go on the Investor Relations section of the company's website at www.digitalglobe.com. I would now like to turn the call over David Banks, Investor Relations for DigitalGlobe.
David Banks: Thank you, Hope. I appreciate that. Good afternoon, everyone, and thanks for joining our call today. With me on the call are Jeff Tarr, President and Chief Executive Officer; and Yancey Spruill, Chief Financial Officer. Our remarks today will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. Any forward-looking statements are based upon our historical performance and our current plans, estimates and expectations. We may make forward-looking statements about, among other matters, revenue and revenue growth, adjusted EBITDA and adjusted EBITDA margin, earnings per share, cash flow, sales pipelines and strategic initiatives. Inclusion of this forward-looking information should not be regarded as representation by us that we will achieve future plans, estimates or expectations. Such forward-looking statements are subject to various risks and uncertainties and assumptions. A number of important factors could cause our actual results or performance to differ materially from those indicated by such forward-looking statements. We undertake no obligation to update any forward-looking statement to reflect events or circumstances after the date on which the statement is made or to reflect occurrence of unanticipated events. Please refer to our earnings release, which can be found at our website at www.digitalglobe.com, for a discussion of these risk factors. You should also refer to our earnings release for an explanation of the non-GAAP financial measures discussed during this call and for a reconciliation of those measures to the nearest applicable GAAP measures. These non-GAAP measures are indicators that management uses to provide additional, meaningful comparisons between current results and prior reported results, and as a basis for planning and forecasting for future periods. For your convenience, we have posted slides on the Investor Relations section of our website at www.digitalglobe.com to give you an overview of the information we will cover today. [Operator Instructions] With that, I will turn the call over to Jeff.
Jeffrey R. Tarr: Thanks, David, and thank you, everyone, for joining us this afternoon. Our fourth quarter put an exclamation point on an extremely successful, important and transformative year for DigitalGlobe. Our results, our outlook and the expected benefits of our recently completed combination with GeoEye all reflect a significant progress we are making towards our vision to be the indispensable source of information about our changing planet. Today, I'll share a few financial highlights and the significant strategic achievements and team members' successes that made these strong results possible. I'll also update you on our initial progress and plans with regard to our combination with GeoEye. Yancey will then share our financial results in more detail, as well as our guidance before opening the call up for your questions. First, our financial results. During the quarter, we delivered a record $125 million of revenue. This reflects strong growth of 28% over the prior year and contributed to full year revenue growth of 24% to $421 million. We also grew our 12-month backlog by a robust 37% to $419 million, which gives us confidence in our ability to sustain strong growth in the year ahead. Excluding the impact of GeoEye combination-related expenses and our 2011 debt refinancing, we expanded our EBITDA margins by 240 basis points. This demonstrates the operating leverage in our model and our progress towards becoming a higher-margin information business. This strong financial performance was a direct result of the efforts of key members around the world and our success in executing against 4 strategic focus areas that we put in place nearly 2 years ago. These focus areas included: one, realizing the full potential of our EnhancedView contract with the U.S. government by delivering superior performance and value; two, profitably growing and diversifying our revenue base by expanding our business with foreign governments, Location Based Services and Other Industry Verticals; three, investment excellence, which has been about applying our financial resources, satellite capacity and the time and talents of our team towards the best opportunities; and finally, creating a culture of leadership, where all team members are leaders and together do the best work of their careers, thereby enabling progress against all of our strategies. In this year end call, I'd like to update you on some of our recent progress against each of these 4 strategic focus areas. First, on our success in realizing the full potential of EnhancedView. During the year, we continued to meet and exceed the exacting requirements of our largest customer, the National Geospatial-Intelligence Agency, or NGA. To that end, in the third quarter, we completed our 2-year remote ground terminal expansion, which dramatically increased our capacity and improved time lines for all customers. Just after year end, we completed a 3-year development program, funded under the EnhancedView program, to more tightly integrate our infrastructure with the NGA in order to take on more of their mission. Late in the year, we expanded our Enhanced GEOINT Delivery program now called Global-EGD in order to make our content more readily accessible to war fighters, intelligence analysts, first responders and relief workers where and when it is needed. And finally, by integrating the advanced production and analytic capabilities of GeoEye with a more powerful constellation and vast archive, we will speed time lines, improve quality and deliver more value to the U.S. government across a wide range of product offerings. Taken together, these achievements make us an even more critical mission partner for our U.S. government customers, and I'm proud to note that we're now well into our second decade of this important relationship. With regard to possible sequestration, we believe the critical importance of our deeply embedded service offering and the recent rightsizing of the EnhancedView program positions us well. Turning to our second strategic focus area. We made significant progress diversifying our revenue base beyond the EnhancedView SLA. There are many ways to view our success in diversifying our revenue base. Let me share a few metrics. In 2012, we generated $195 million of revenue from sources other than the EnhancedView SLA. This figure was up 24% for the full year and up 27% for the quarter. On a pro forma basis, DigitalGlobe and GeoEye combined, generated about $375 million of revenue from diversified sources beyond the SLA. This was more than our total revenue in 2011. Embedded in the midpoint of our 2013 guidance is an assumption that we will generate revenue from sources beyond the SLA, in line with our total stand-alone revenue for 2012. On a percentage basis, 65% of our revenue will now be derived from sources beyond the EnhancedView SLA compared with only 52% prior to our combination with GeoEye. And with only 50% of our revenue from U.S. government sources, we are vastly more diversified than traditional defense industry players to whom we're sometimes compared. These are important milestones that measure our progress and our ability to operate a profitable, rapidly growing business in a wide range of future scenarios. Growth in diversified commercial revenue, which is a term that going forward we'll use to refer to revenue beyond the U.S. government, was broad based, supported by double-digit growth in each of our key customer groups: international governments, Location Based Services, or LBS, and Other Industry Verticals. We scaled our international civil government business with significant revenue contributions from emerging growth markets around the world, where rapid change and economic growth, combined with large land masses, are fueling demand for our services. We sold more minutes to our DAP accounts and signed a sixth DAP, which will be operational in the second half of this year, supporting the needs of friendly nations in volatile parts of the world to monitor activity on and over their borders. We fully participated in the explosive growth of new web-based mapping and geospatial services, adding new brand name accounts around the world and growing others, whom we support both in creating maps and enhancing the user experience. And we continue to successfully grow our Other Industry Verticals through partners, creating beachheads in new markets with new applications, ranging from estimating same-store sales to monitoring pipelines. While still small and early in their development, these opportunities will help fuel our growth for years to come. Our third strategic focus area, investment excellence, is exemplified by our combination with GeoEye. This transformative event expands our global presence with a larger and more diversified revenue base, provides a larger and better optimized constellation and better integrates our imagery collection processing and analytic capabilities onto a single platform. As discussed previously, the combination supports our other strategic goals. It allows us to deliver more value to the U.S. government, advancing our success and realizing the full potential of EnhancedView. It's diversified our revenue base, creating value for shareholders and it strengthened our team, supporting our culture of leadership. From a financial perspective, the synergies are dramatic. Now that we've closed the combination and are better able to quantify the expected savings, we are raising our projection of the positive impact on our financials. Specifically, we now estimate the favorable impact on our run rate operating expenses to be approximately $100 million on an annualized basis after 6 quarters. With this increase and a lower-than-anticipated cost of refinancing our debt, we are now taking up the expected net present value of synergies from at least $1.5 billion to more than $1.8 billion, a figure approaching our total market cap. Breaking down these savings, we continue to expect to realize about $1 billion of the savings through rationalizing our constellation to 3 WorldView-class satellites over time. Thus, reducing the capital intensity of our business. Importantly, shareowners don't have to wait to begin realizing these savings, with CapEx in 2013 expected to be approximately half that of the 2 companies combined in 2012. The balance of the synergy comes from a 300 basis point reduction in our cost of debt and importantly, from the reduction in our operating expense base. We've spent the past 6 months developing detailed integration plans, with dozens of the team members from across both companies, supported by a full-time program office and the Boston Consulting Group. This has allowed us to hit the ground running, having made literally hundreds of decisions and realizing more than 15% of our operating savings target only a few weeks into the combination. Among the literally dozens of integrations I've led in my career, never have I seen a team better prepared to integrate 2 businesses than this one. This integration plans, obviously, have a human side to them. While reductions in staff were inevitable when GeoEye lost its SLA and would likely have been greater if not for the combination. This does not diminish the impact on team members. I'm grateful to everyone of our team members who have persevered through this time of change with a focus on our purpose of seeing a better world, knowing that every image and every insight we deliver could be an image or an insight that makes the difference for a war fighter, a first responder or intelligence analyst, striving to keep our nation and other friendly nations safe. With regard to sources of operating expense synergy, savings will come from areas such as reducing our remote ground terminals, pulling together our financial reporting in other back-office systems and consolidating our IT platforms over which we operate our combined 5-satellite fleet and produce and deliver data. These efforts will not only reduce cost, but also improve quality and our ability to serve customers. The best external measure of our success in achieving operating expense synergies will be reflected in expansion of our margins. Our expectation is that when we conclude our 18-month integration process, we'll deliver EBITDA margins of at least 50%. In addition to the expense synergies, as I said before, we believe this combination will enable us to deliver more value to customers by optimizing our constellation and by integrating our combined capabilities to support our growth aspiration for years to come. Finally, I want to take a moment to share our progress on our fourth goal, in building a culture of leadership, where all team members are leaders and collectively we're creating an environment where we all do the best work of our careers. While I've not spent much time sharing individual backgrounds of our senior leadership team, those following us closely know that we've made a number of key hires and promotions in the last 2 years. I'd encourage you to take a look at the biographies on our website. There you'll see a diverse team with impressive track records of success, leading their respective functions in relevant organizations and growth companies much larger than our own. We further added to our senior leadership team with 2 talented leaders from GeoEye. Together, along with team members at all levels, we're building a company that is defined by its purpose, vision and values, one which creates value for customers and shareowners alike. In summary, it was an extraordinary year. And in so many ways, we're still just getting started. Many thanks go out to all of our team members whose achievements have given as a solid foundation from which to advance towards our vision of being the indispensable source of information about our changing planet. And in the process, building a high-growth geospatial information business that creates value for all of our stakeholders. I'll reserve additional comments for closing. But I'd now like to turn the call over to Yancey for a discussion of our financial results and our guidance.
Yancey L. Spruill: Thanks, Jeff. What a quarter and what a year. I'm incredibly proud of our team for the across-the-board strong 2012 results. Today, I will provide DigitalGlobe's stand-alone results for 2012. Before discussing our 2013 outlook, I will provide a 2012 pro forma revenue result that should facilitate an apples-to-apples comparison for 2013. Now for our stand-alone DigitalGlobe Q4 and full year results. Revenue of $125.4 million, a record, was up 28% year-over-year, driven by growth across each customer group. For the full year, total revenue was also a record $421.4 million, up 24% compared with 2011. The increase was driven by a 23% improvement in D&I revenue and a 28% increase in commercial revenue. A little more detail on the revenue components. First for the quarter. Q4 D&I segment revenue was $90.3 million, up 29% year-over-year. We delivered SLA revenue of $56.8 million and expect to stay at the current level of revenue under the SLA until we add the final capacity expansion under the EnhancedView agreement with the launch of WorldView-3, which is expected in mid-2014. Q4 U.S. government growth was also aided by 64% year-over-year improvement in our value-added services revenue to $12.3 million. We continue to be pleased with recent improving trends in this area, although we are cautious on our outlook given budget uncertainty. International D&I revenue was $14.9 million in Q4, up 8% and driven by DAP revenue of $13.4 million, up 15% from the same period a year ago. Q4 commercial segment revenue was a record $35.1 million, up 27% year-over-year. Growth was strong across the board, with growth coming among customers in International Civil Government, LBS and Other Industry Verticals, all up by 20% or better. For the year, U.S. government SLA revenue was $201.3 million, up 28%. U.S. value-added services revenue was $32.8 million, up 40%. And international D&I revenue was $61.6 million, up 11%. Our commercial segment generated $100.2 million, up 28%. Our next 12-month revenue backlog increased 37% to just under $420 million, reflecting strong momentum across our business. Backlog is reflective of growth from both existing and new customers and the transition of existing customers from lumpy revenue to more predictable recurring revenue. Finally, a comment on our revenue diversification efforts. We remain committed to diversifying our revenue base to realize the full potential of the opportunity across all customers and lower revenue concentration associated with our largest contract. As we combine with GeoEye, we expect U.S. government revenue concentration will drop to about 50%, with the SLA contribution dropping to approximately 35%. Now on to operating profitability. In Q4, we generated $57.6 million of EBITDA, with EBITDA margins of 45.9%. This included $10.2 million of expenses related to the combination with GeoEye, negatively impacting EBITDA margins by roughly 810 basis points. Without the combination expenses, EBITDA margins would have been 54% in Q4. Full year EBITDA was $189.6 million, with EBITDA margins of 45%, including $19.9 million of combination-related expense, which were about $4 million higher than projected previously, due to the additional activity required to comply with the Second Request. Even with the combination-related expenses, we improved our year-over-year EBITDA margins by 240 basis points, not including the impact of $51.8 million expenses related to our fourth quarter 2011 refinancing, and more than 700 basis points for the full year excluding the impact from the combination. COGS was 17.6% of revenue in the quarter, an improvement of 70 basis points year-over-year. SG&A was 36.5% of revenue, up about 70 basis points from the year-ago period and impacted the quarter negatively by 810 basis points related to the spending on the combination in the quarter, with year-over-year impact of 740 basis points. Stock compensation expense, which is included in both COGS and SG&A, was $2 million in the quarter. Interest expense was $1.4 million in the quarter, down from $4 million in the year-ago period. This reflects the significantly lower total interest cost due to our debt refinancing in Q4 2011 and the increasing amount of interest we are now capitalizing as we continue to add to assets under construction for EnhancedView. We capitalized approximately 84% of total interest in Q4 as compared to approximately 53% in Q4 2011. Tax expense in the quarter was $11 million, with effective tax rate of 39%. In the quarter, we reported net income of $17.1 million or $0.36 per diluted share compared with a net loss of $27 million or negative $0.58 last year that included a $52 million charge for the refinancing of our debt in Q4 2011. EPS was impacted by approximately $10.2 million of combination-related expense on a pre-tax basis or $0.13 per diluted share after tax. Our diluted share count in the quarter was 47 million. Now our free cash flow and capital spending. Free cash flow, defined as operating cash flow less investing cash flow, was $12.4 million in Q4. This represents a $96.7 million improvement compared with the fourth quarter 2011. 2012 free cash flow is $48.5 million and represents $165.2 million improvement from 2011. This turnaround reflects the organic revenue growth across our customer base and the reduction in our CapEx as we made significant progress in completing our EnhancedView-related investments. CapEx in the quarter was approximately $53 million, excluding capitalized interest of roughly $7 million. Full year CapEx was approximately $197 million, excluding capitalized interest of approximately $24 million. We ended the quarter with $246.2 million in cash. Before providing our outlook for 2013, I'd like to provide context for our 2012 pro forma revenue to serve as the basis to look at the combined company growth in 2013. We are still finalizing the 2012 audit for GeoEye. However, adding revenue of approximately $180 million to our stand-alone $421 million provides a $600 million pro forma 2012 to use in comparing our results in 2013. The result excludes any revenue GeoEye generated in 2012 related to the SLA, including a noncash amortization for payments received during the NextView contract. We exclude this because in December, the SLA for GeoEye was terminated. And consistent with what we've said previously, we do not anticipate any additional SLA revenue to be on the current level in the combined company until after the launch of WorldView-3 in 2014. Given that we closed the combination on January 31, we will account for the GeoEye contribution for only 11 months of 2013. Now for our 2013 outlook. We expect revenue in a range of $635 million to $650 million. We expect EBITDA margins, excluding combination-related cost, of approximately 36% for the year. We expect margins will be lower than the full year target in the first half of the year and higher in the second half, with margin expansion throughout the year as we realize synergies and benefit from the typical trend of quarterly revenue progression during the year. We expect to incur approximately $100 million of combination-related costs, approximately 70% of which will be expensed. We expect the spending will roughly pace evenly across the 4 quarters of the year. Recall that we expect to generate $100 million of annualized operating expense synergies. And that as we conclude our 18-month process to combine, we expect EBITDA margins of greater than 50%. The $100 million in annualized savings represents approximately 25% of our current combined expense base. Additionally, we will continue to invest in the top line growth opportunities in our business, while significantly reducing the overlap in other areas of our business. As we announced in February 4, we have finalized our satellite construction plans. We now expect to complete the construction of GeoEye-2 this year and to preserve it as a grounds spare. WorldView-3 remains on track to be launched in mid-2014 in order to fulfill our remaining capacity step-up as part of the EnhancedView SLA. Our total CapEx for the year should be approximately $230 million, excluding capitalized interest. We expect to capitalize a significant portion of our interest during the period that both WorldView-3 and GeoEye-2 are under construction. Once GeoEye-2 is complete, the amount of interest we will capitalize will step down, and then we will -- then we will see an increase based upon the pacing of the remaining investments associated with WorldView-3. We expect that 2013 GAAP tax rate of approximately 36% before discrete items related to the GeoEye transaction. Finally, we incurred approximately $125 million in cost to close the combination, including early termination and new loan costs, transaction advisory fees and other costs. Preliminarily, we expect to expense roughly $25 million in Q1, capitalize approximately $40 million into our new debt and amortize that over the life of our new debt. And the balance will be added into goodwill. We are in the midst to finalize the accounting for the combination, and we'll provide final details of the treatment of these costs when we report Q results for Q1. We expect to make an 8-K filing with a set of 2012 pro formas in the mid-April time frame that will reflect our finalized accounting determinations on the combined income statement and company balance sheet. I can't say enough for the year we had in 2012 or about our optimism for 2013 and beyond. With that, I will now turn the call back to Jeff.
Jeffrey R. Tarr: Thanks, Yancey. And just to clarify, we do expect, as indicated in our press release, our revenue to be between $635 million and $660 million. So thanks very much. I do appreciate that. And as I indicated earlier, 2012 was an incredible year. We delivered strong double-digit growth and margin expansion. We delivered our -- strengthened -- diversified our revenue and strengthened our team and entered into a transformative combination with GeoEye. And yet as proud as I am as we are of this year, we're still just getting started. Global satellite imagery and the insight it provides has become part of the fabric of our everyday lives. This is true for a driver who would otherwise be lost on a route to a meeting, a soldier who needs situational awareness on the battlefield, a city planner who needs to better manage traffic flow, a farmer seeking to optimize crop yields, an archaeologist searching for new sites on earth, a law enforcement officer working to solve and even prevent crime or an analyst looking to forecast trends in commodity prices. These are just a few examples of the range of what is possible with our imagery and analytics. As time goes on, we'll broaden and deepen our sources of revenue and our customer base. As we look toward 2013, we will execute against 4 substantially similar strategic themes as in 2012. We will continue to realize the full potential of EnhancedView by delivering superior performance and value to our U.S. customer. We will continue to diversify our business through our focus on profitable customer growth. We will continue to invest in operating excellence, delivering on our synergy commitments in a way that builds an even stronger and more scalable company. And we'll continue to build our culture of leadership as we bring together team members from over 2 stand-alone companies and create an even stronger company, defined by its purpose, vision and values and an environment where we're able to do the best work of our careers. Through these focused areas, we'll advance towards our vision. And in the process, create a foundation for a high-growth, billion-dollar recurring revenue information business that delivers value for customers and shareowners alike. With that, operator, we're now ready to open the call up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Peter Appert, Piper Jaffray.
Peter P. Appert - Piper Jaffray Companies, Research Division: So Jeff, I just want to be 100% clear that I'm -- or 100% sure I'm clear on this. The 36% margin for 2013 is before the impact of the $90 million of incremental integration expense, correct?
Yancey L. Spruill: That's correct, Peter.
Peter P. Appert - Piper Jaffray Companies, Research Division: Okay. So it strikes me that, that might be a little bit more margin dilution than I would have anticipated. What's driving the margin reduction from year-to-year?
Yancey L. Spruill: Well, if you think about it, we combined last month or earlier this month, the expense base is roughly $400 million at close. GeoEye, just prior to the close, had a significant revenue stream cut. And so what we said is we expect margins to expand during the year. So they're lowest in Q1, and we expect them to expand progressively during the course of the year as synergies are realized and revenue growth materializes, so -- with a normal progression. So we'd expect EBITDA margins x onetime costs to actually be higher than that target in the second half of the year. But we are starting it from a low point in this period's time.
Peter P. Appert - Piper Jaffray Companies, Research Division: Okay. And then just the follow-up is the 50% margin -- or the 50%-plus margin target, is that a number you'd be comfortable thinking you could get to within the 6 quarter time frame you've talked about?
Yancey L. Spruill: Well, we're certainly comfortable after 6 quarters to the extent that either a combination of revenue growth is faster and/or our execution on the combination is sooner. Those 2 could align to make 50% sooner than that period, yes.
Jeffrey R. Tarr: But it is expected after the 6 quarters.
Yancey L. Spruill: Correct.
Operator: Your next question comes from the line of Andrea James, Dougherty & Company.
Andrea James - Dougherty & Company LLC, Research Division: Just -- and I'm still getting questions here about the guidance and the adjustments, just to make sure everyone's on the same page. So it's basically an EBITDA margin of about 20% to 21%. But then if you back out the $90 million and onetime costs, it's 36%. Is that about right?
Yancey L. Spruill: That's correct. Again, what we said was cost of roughly $100 million in total, about $70 million of which would be expensed. Part of the cost to combine will be capitalized.
Andrea James - Dougherty & Company LLC, Research Division: And so then by 2015, the COGS and SG&A compared to 2013 on a GAAP basis would be about $190 million less than it is now or $170 million less than it is now, because you take out the onetime and then you realize a bunch of synergies on top of that.
Yancey L. Spruill: Can you repeat that? I didn't follow all that.
Andrea James - Dougherty & Company LLC, Research Division: Sure. So basically you have a bunch of onetime expenses in 2013, really due to the combination. But then you're going to have synergies on top of that because your expense base is $400 million.
Yancey L. Spruill: Correct.
Andrea James - Dougherty & Company LLC, Research Division: Now -- and it will go down to about $300 million or $315 million, your expense base -- the COGS plus SG&A.
Yancey L. Spruill: We have a $400 million expense run rate at the time of close, and we expect over a 6 quarter period to take a roughly $100 million of overlap out of that expense base. But during that period of time, there will be organic growth and as we said, there'll be some other investments and areas of growth. But we will see those costs come out of the system during this next 6 quarters, and those will improve margins x the onetime costs.
Andrea James - Dougherty & Company LLC, Research Division: Got it. No, that's clear. And then finally, can you talk a little bit about selling the excess capacity off of GeoEye-1 and I guess how that's going and where you see the opportunity there?
Jeffrey R. Tarr: Sure, thanks. First of all, it's important to keep in mind that much of our commercial revenue comes from selling the archive. So that capacity will contribute to our refresh and strengthen our archive, and that will just contribute to the strength of that offering and our ability to grow it. In terms of the actual capacity to monetize, keep in mind that GeoEye-1, which is the satellite that came over with the SLA freed up, has less capacity than a WorldView-class satellite. So in total, we're looking at about an increase of 15% to 20% in our total constellation, some of which is sold and in the existing revenue base, some of which creates opportunity to generate additional revenue on it. Looking at our sales team, I'm really pleased -- obviously, our sales team could do less advanced planning because we couldn't share our respective pipelines with each other prior to close. But in the time since close, our 2 sales leaders Bert Turner and Chris Tully have been working together real well, and we're off to a good start and feel good about our prospects for 2013 and beyond.
Operator: Your next question comes from the line of Greg Konrad with Jefferies.
Greg Konrad - Jefferies & Company, Inc., Research Division: Can you talk a little bit about the level of cash post close and after refinancing? And maybe the level of cash you could have by the end of 2013?
Yancey L. Spruill: We're not guiding on cash. I will say we closed the combination with slightly more than $300 million in cash, and that reflects the fact that we upsized our debt, so we closed on $1.15 billion of debt, average interest cost of about 4.5%. We also have an undrawn revolver at $150 million. But we would expect during the course of the year, certainly earlier in the year with the higher expense base and the onetime expenses to facilitate the integration that we'll be spending higher in the first half. We also are completing GeoEye-2 and then we also have a spending on WorldView-3 and then GeoEye-2 should step down as it's complete, as we get into the end of Q2. So we'll then -- we'll be completing WorldView-3, and we'll start to see the benefit of realizing synergies with a step-down in CapEx, and so cash flow will start to normalize in the back half of the year.
Greg Konrad - Jefferies & Company, Inc., Research Division: And then, I know you remain cautious on value-added services. But it was another good quarter and it seems keep going up throughout the year. Was some of that extra sales from capacity loss through the cancellation of GeoEye's SLA and do you see other opportunities out there to grow the government business?
Jeffrey R. Tarr: Greg, I think it's important to -- what I can say is that we've always experienced that there is great demand within the U.S. government and from NGA and those that NGA serves across the U.S. government for our value-added services. It's about getting processed imagery in the hands of the war fighter and the first responder and the intelligence analyst. It is subject to availability of funds. And so that's why we remain cautious simply because we have less visibility to that revenue stream than we do to our recurring business and the SLA. But with that said, we're delivering terrific value. There's a lot of good work going on. And on top of it, if we look at the capabilities that we've now brought together, the advanced production and analytics within -- resting within GeoEye and -- or what was GeoEye, now it is DigitalGlobe, and the larger, more capable constellation and archive, there is a lot of opportunity. I was just down with some of our employees in Tampa, who have been given access to EGD, in support of our U.S. military customer. So things are happening quickly. We feel good about what we're doing. And as long as -- the budget dollars are there. We feel good about the outlook for that revenue stream, too.
Greg Konrad - Jefferies & Company, Inc., Research Division: And then actually just a quick follow-up in terms of the analytics. You talked about it in terms of government, but I'm assuming that businesses doesn't have much traction in the commercial world, so that's probably one of the bigger opportunities. Any progress there or steps to grow that business outside of government?
Jeffrey R. Tarr: Still early days, but I'll say that we -- there are -- there is some work being done in customers outside the U.S. government, including some humanitarian initiatives, some of which generate revenue, some law enforcement initiatives, which technically are U.S. government but local law enforcement not just federal law enforcement. So there are some initial initiatives and revenue streams that existed before the combination. Keep in mind, we're only a few weeks in, so it will be too soon to report revenue from what are typically longer sales cycle efforts. But we believe in the promise and we believe that will be a meaningful contributor as we advance towards our aspiration.
Operator: Your next question comes from the line of Paul Coster, JPMorgan.
Mark W. Strouse - JP Morgan Chase & Co, Research Division: It's Mark Strouse on for Paul. If we can dig down into the 2013 guidance, I mean, are you able to share what the outlook is on the commercial side? I'm just -- if I annualize the 4Q revenue of $35 million and add in $30 million, $40 million from GeoEye, just having trouble getting to the guidance range without taking down the expectations elsewhere.
Yancey L. Spruill: Thanks, Mark. I'm not sure what you're referring to. But when we look at the range of outcomes, the low end to the high end, and again you have to factor in that we're losing a couple of hundred basis points from January because we closed January 31. So we don't include that in the pro forma results. There's a range of outcomes, but we're focused on the mid-range of the guidance as sort of our expectation, and we found that in the low end and the high end by a myriad of factors that we -- that could impact the outlook. But we're focused on the mid-range. And I think if you do that, plus normalize for January, we have decent aggregate growth for the combined company, and we're looking at growth across the board.
Mark W. Strouse - JP Morgan Chase & Co, Research Division: Okay, perfect. And then just following up on the last line of questioning. I understand it's still early days for the value-added services within commercial, but are you able to maybe give a number as far as percentage revenue, 10%, 20%, 30%? And even qualitatively, how that's trended over the last couple of years?
Jeffrey R. Tarr: We don't break out the revenue that way, Mark. We've broken out the revenue by customer category. We've broken it out by defense and by U.S. government and other. We feel very good about the business. We feel very good about the opportunity. But analytics within the commercial segment is early. It's early and it's something that we believe has great promise for the future. But near term, it's still a very small part of the business.
Operator: Your next question comes from the line of Brian Ruttenbur, CRT Capital.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: I have a couple questions, I'm going to try and wrap it into one, so that I can get the biggest thing for my buck. It's about Q1, I'm trying to understand it, the revenues, the cost breakdown, can you give us the D&A in Q1 and where it's going to be normalized? Can you give us a revenue range for Q1 and an EPS on an actual basis GAAP and pro forma? And then finally, just to try and put everything under one question, can you talk about if you're going to see any impact from sequestration?
Jeffrey R. Tarr: Why don't I take the sequestration question. The rest of it is going to be easy because we don't give quarterly guidance, but I'll leave it to...
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: But you can give D&A guidance, right?
Jeffrey R. Tarr: I'm going to leave it to Yancey. We don't give quarterly guidance or guidance on elements of the P&L that we haven't guided to in our press release. But let me just -- as I said about sequestration, I hope you took away from my prepared remarks, no one has 100% certainty with regard to sequestration. But with that said, our EnhancedView SLA, which is 35% of our business is deeply embedded. It's mission critical. It's a firm fixed price contract. It was rightsized going into 2013 with significant cuts to the program. We feel really good about it and we feel great about the capacity and the value of that capacity that we are delivering to our U.S. government customer. Looked at through the other side -- lens, 50% of our revenue comes from sources beyond the U.S. government. That's a base of revenue that's rapidly growing, as you've heard from our results and can imply from our guidance. So we feel very good about 2013. We feel very good about the years beyond, so I think that's about all I can say. Yancey, on the request for quarterly Q1 numbers? So...
Yancey L. Spruill: A big bang question. So we don't provide quarterly guidance in any category, just as to state that. But I will say that we are in the process of finalizing the accounting for the transaction. That will have certain implications for valuation of assets coming over from GeoEye, and so it's premature for us to comment on things like depreciation or other attributes, which we know are going to be changed from what you saw in the previously disclosed GeoEye results, and we'll have more to say on that. We expect to file a pro forma in mid-April under an 8-K, and then obviously we'll have Q1 results for the combined company later in the spring.
Operator: Your next question comes from the line of Jim McIlree, Dominick & Dominick.
James Patrick McIlree - Dominick & Dominick LLC, Research Division: Yancey, I hate to be a pain on these OpEx numbers. But I just want to make sure I understand. $100 million of combination cost is the total or the amount you'll expect to spend in 2013? And then secondly, does that include the $25 million of transaction costs that you will incur this year or have incurred this year?
Yancey L. Spruill: No. That excludes those costs. The $100 million is 2013 total costs. About $70 million of that we will expense, and that should pace roughly evenly across the year. It won't be exact each quarter, but it should be roughly the same each year, and then you should see a step-down, material step-down into the first half of 2014. We provided a slide on our website that sort of shows the pacing of the spend and how that correlates with the EBITDA margin recovery from the low point here in Q1. So that's $70 million of expense, and the balance will be capitalized cost related to longer-term assets we're creating in the investment pool. Second question...
James Patrick McIlree - Dominick & Dominick LLC, Research Division: I think you answered it. It was the $25 million of transaction cost is not part of the $100 million of the company.
Yancey L. Spruill: If you look at the back part of the script, I broke out, that's $125 million of cost to close the transaction, about $25 million of that is going to be expensed in Q1. About $40 million will be added into the debt balance and amortized over the life of the debt, and the balance will be added into goodwill.
James Patrick McIlree - Dominick & Dominick LLC, Research Division: And then -- and just one thing, it's a quickie. So GeoEye-2 gets completed and you put it in storage, you don't depreciate that, correct? It only gets depreciated when you launch it and put it in service?
Yancey L. Spruill: Correct.
Operator: Your next question comes from the line of Chris Quilty, Raymond James.
Chris Quilty - Raymond James & Associates, Inc., Research Division: I wanted to follow up on the GeoEye-1 question. If I recall, 50% to 60% of the capacity on that satellite was reserved for the NGA. That was freed up, obviously, in December. So I know you didn't give specific capacity available there, but can you give us a sense of how successful you've been in reselling that? Do you expect that it will be on the time line that you've experienced in the past with DAP customers? Or do you think there's a lot more incremental upside in there? And is any of that in your forecast -- the implied forecast you've given us for this year?
Jeffrey R. Tarr: Yes. So first of all, I'll answer the last part first, it is implied in our guidance. In terms of sales cycle, still early days because we just closed the combination. Our typical sales cycle is 6 months, as we've said in the past. Our sales cycle for DAP is much longer, 1 to 3 years. When we look at the incremental capacity, I think we're looking more at 6-month sales cycle than -- it won't require the sale of additional DAPs to monetize that capacity. But it's important to understand how much we're talking about because if you look at our -- at the published numbers for the capacity of GeoEye-1, it's substantially less than the capacity of a WorldView-class satellite. Half of that capacity was already sold to other customers beyond the NGA and is in the pro forma revenue base. So there is additional capacity, it's not a gigantic number. The monetization of that capacity is implicit in the guidance that we've given, and we feel good about our ability to go out and capture that.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Got you. And regarding sequestration, the SLA, it seems it's safe, but value-added services would appear to be the part of the government business that might be at risk. You've done exceptionally well in the last several quarters here, whereas a lot of defense-related companies have already felt effects in the past quarter or 2 of, call it, sequestration planning. Does the fact that your business value-added service has been doing well give you a strong feeling that you won't be impacted?
Jeffrey R. Tarr: As I said before, Chris, no one can be 100% confident with regard to how sequestration will unfold. With that said, we feel good about the SLA. We believe we're very well positioned with regard to the SLA. And I think as you do point out, there has been robust demand across the U.S. government for value-added services. We continue to pursue those opportunities, but we have less visibility there. So I think you've got it about right, and that's about all I can say about it because that's about all I know.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And then, I guess, a final for Yancey and David. Just on the results here on the quarter, I know we've gone through an evolution in the past 2 years from adjusted EBITDA to EBITDA. But clearly, I look at a quarter like this, where in my view, $67.8 million, it's kind of an EBITDA number less acquisition expenses is kind of the operable number we should be focusing on. How do you plan on positioning your earnings here in terms of what you want to see reported?
Yancey L. Spruill: So EBITDA less cost to combine or combination-related cost, I think that's the operative metric to show the progress of our 2 businesses and growing organically and then realizing the synergies. So -- and we've migrated to EBITDA about a year ago. And the reason we did that is because as we stepped up our revenue with the SLA, the difference between revenue recognition of the SLA and cash was going to narrow. And in fact, we're recognizing just over 90% of the SLA cash payments into revenue now. So there's a fairly narrow difference. So EBITDA is a good metric that we use to look at our performance in executing and delivering for our customers and showing margin of the business.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Got you. And I know, Yancey, you didn't provide any sort of segment level pro forma. But as we all get busy about building our models from the bottoms up again, do you plan on classifying GeoEye's segment reporting into the classic DigitalGlobe? Or might there be something different that you come up with?
Yancey L. Spruill: I think one of the things we're very focused on from a strategy is clearly delivering on the promise of the EnhancedView contract. So we've talked about U.S. government revenue. And then the strategy is to profitably grow beyond the EnhancedView relationship with other customers. And so I think we will expand our view beyond the traditional just commercial to customers outside the U.S. government because I think that reflects the level of effort we have, how we're organizing sales, et cetera. But we'll have more to say about that as we get into Q1 and report on the combined company results.
Operator: Your next question comes from the line of Jason Gursky, Citi.
Jonathan Raviv: Jon Raviv on for Jason. I wonder if you -- if Jeff and Yancey, you could talk about cash deployment a little bit going forward, both in the medium-term, where I assume a lot of your focus is going to be on integration. But thereafter, where do you see -- do you expect to see some pretty good cash levels thereafter? And where do you see that cash going, in terms of M&A or perhaps shareholder returns?
Jeffrey R. Tarr: Let me talk about that. Yancey may have something to add afterwards. But you're spot on. As we complete GeoEye-2 and then complete -- which will happen this year and then complete construction of WorldView-3, which will happen in the middle of next year, the cash flow generation of the business will take a very significant step-up. As we look at deploying that cash, we believe the highest and best use from where we sit today is further acquisitions. As we've gone about building the capability to integrate GeoEye and DigitalGlobe, our approach has been exactly that, that this isn't a project, this is actually a capability that we're building that we'll continue to take advantage of in the future. We do see opportunities out there for additional acquisitions. We've got our -- we're focused right now on integration. But soon that integration will be behind us, and we'll be ready to continue to advance towards our aspiration with additional high-value transactions. So that's our focus. Now we're patient acquirers. We're thoughtful acquirers. And if we don't find ways of deploying the capital through acquisitions that create shareowner value, then there are obviously other ways to return capital to shareowners that we will explore at that time.
Operator: And your final question is a follow-up question from the line of Andrea James with Dougherty & Company.
Andrea James - Dougherty & Company LLC, Research Division: I have 2 follow-ups. If I get you sticking to talking about EBITDA because you don't have a good D&A yet and I know your interest is going to be capital according to the satellite spend. But I'm just thinking, we do have to publish something tomorrow and it's going to get accumulated to a consensus GAAP figure. So I was just wondering could we assume D&A of about $200 million and then maybe a GAAP EPS loss of like $0.90 to $1? Is that thinking along the right terms there?
Yancey L. Spruill: Well, again, we'll have more details. I think conceptually for directional, we would expect that the asset base that comes on to our balance sheet will be somewhat lower than what it was as a stand-alone basis with GeoEye, and that will be reflected in the depreciation and amortization. I would refer you back to the S-4s we filed back in the fall that would provide some insight into how we would account differently for the business. But again, I just don't want to get out ahead of the work that we're finalizing. Now we'll be transparent as soon and quickly as we can, but we're not prepared to do that today.
Andrea James - Dougherty & Company LLC, Research Division: Okay. And then just another kind of fun one. I know Facebook has been talking about getting into mapping, Amazon.com, there's a lot of brand names out there kind of talking about that. And maybe you could talk about how DigitalGlobe would play a role in sort of this migration toward more mapping and LBS, especially with these guys?
Jeffrey R. Tarr: Well, that is a fun one without talking about any specific customer or prospect. As you know, periodically, there are players who have entered the LBS space. There is truly an explosion of geospatial services out there on the web. And whenever a new player enters with geospatial services, that's an opportunity for us. We're -- we play a very important role in the creation of maps and we play an important role in adding value to a wide range of Internet web-based geospatial services. So for that reason, we've been able to drive a really good double-digit growth amongst our LBS customer category, some from selling more to existing customers, some from adding new ones around the globe, not just in the U.S., and we feel good about the future of that business. Geospatial services are going -- we believe continue to go nowhere but up from where we are in the world we live in.
Operator: And there are no further questions at this time.
Jeffrey R. Tarr: Terrific. Well, thank you, operator, and thank you, everyone, for joining our call. And more importantly, thank you to all of our investors for entrusting us with your capital. We are deeply committed to creating value that rewards you for that trust in the months and years ahead. Look forward to updating you periodically on our progress with the combination as we drive towards our aspiration and our vision. Thanks so much.